Operator: Good day ladies and gentlemen and welcome to the Domo Q4 Fiscal Year 2019 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference maybe recorded. I would now like to introduce your host for today's call, Ms. Julie Kehoe, Vice President of Communications and Public Relations. Ms. Kehoe, you may now begin. 
Julie Kehoe: Thank you very much. Welcome everyone. On the call today, we have Josh James, our Founder and CEO; and Bruce Felt, our CFO. Our press release was issued after the market closed and is posted on our IR website at www.domo.com/ir where this call is simultaneously being webcast. Statements made on this call may include forward-looking statements regarding our financial results, applications, customer demand, operations, and other matters. These statements are subject to risks, uncertainties, and assumptions. Please refer to the press release and the risk factors and other documents we filed with the Securities and Exchange Commission, including our registration statement on Form S-1 that was filed with the SEC and the Form 10-K that will be filed for information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Domo's performance. Unless otherwise stated, we will be discussing results of operations data other than revenue on a non-GAAP basis. These non-GAAP measures, including our guidance for the first quarter and full year 2020, exclude stock-based compensation, amortization of intangible assets and reversal of a contingent liability. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website where a webcast and replay of this call will also be available until midnight Eastern Time on March 27th, 2019. With that, let me hand it over to Josh. Josh?
Josh James: Thank you, Julie. Hello everyone. It's good to be back with you again for our Q4 and fiscal 2019 earnings call, our third quarter as a public company. For today's call, I want to focus on three things which I believe are all strong indicators that the outsized opportunity in front of us is still very much intact. First, strong business execution, including continued progress towards our cash flow breakeven target; second, the growing adoption of the platform and apps across our customers; and third, growing market validation. On my first point, strong execution. Since before our IPO, we've been focused on rightsizing our sales and marketing spend as we shifted to a more enterprise-focused model. While we are rightsizing our sales and marketing spend, we decreased North American sales rep headcount to reset the team with the right talent and we waited for increased rep productivity before starting to hire sales reps again. We significantly reduced marketing expenses through a more targeted approach to reach larger opportunities and also to reach higher in the organizations. These changes all reflected positively in our Q4 and year end results. We saw a 26% increase year-over-year in billings in Q4 and a year-over-year revenue growth of 31%. And while we exceeded all of our growth targets, we were also able to deliver an 11% year-over-year decrease in sales and marketing expense. So, with this new sales and marketing efficiency, Bruce has announced with great aplomb that he's opened the purse strings to increase our rep headcount in fiscal year 2020. In fact, in Q1 alone, we hired 11 new reps and we expect rep headcount to increase another 30% this year. This increase in hiring is occurring while we are continuing to reduce costs and grow swiftly. We've continued our focus on growing and selling into our enterprise space. During the quarter, we added 17 enterprise customers, bringing our total number of customers with more than $1 billion in revenue to 447, up from 375 as of the end of the fourth quarter last year. New enterprise customers this quarter include Uber as well as one of North America's most well-known auto aftermarket retail and service change -- chains and also a U.S. based financial services firm with more than $1 trillion in assets under management. As part of our enterprise focus, we've also asked our corporate business to focus on larger and larger companies and we found quite a bit of success there. We experienced a 62% increase in business from customers between $250 million and $1 billion in revenue this quarter compared to the same quarter last year. A big part of our corporate business to me is enterprise-like in terms of the size of new deals, upsells, and renewals that we're seeing. In fact, approximately 80% of our annual recurring revenue is comprised of customers paying us more than $50,000 in recurring revenue and corporate is a big part of that. We've achieved all this performance while making clear and significant progress towards our promise of achieving cash flow profitability without raising additional capital. On my second point, adoption. A key contributor to our business performance is Domo's expansion deeper and deeper into organizations. As an example, the CIO of Vivint, a $1 billion-plus smart home company, recently signed an expansion deal with Domo to give its 5,000 salespeople a real-time view on pay and where they stand against their goals through a custom Domo mobile app built on our platform. For Vivint, the app will enable them to actively communicate with and manage their sales teams across the entire country. In another example, a Global 200 financial services company had initially purchased Domo to give its CEO and executive team timely and relevant insights into key company performance metrics across business units. After experiencing how a real-time data-driven culture can quickly align its business, the customer added another 3,000 seats for its executives. An additional example, one of North America's largest staffing solution providers, after rolling out Domo to 1,000 of its people, signed an enterprise-wide agreement last quarter for 15,000 users, empowering everyone from the chairman down to the lines of business to run their business from their phones. Lastly, we also signed a notable upsell deal with our customer, GfK, the fourth largest market research firm globally, to expand its use of the platform in delivering GfK solutions through Domo Everywhere to its clients all over the world. And in parallel, GfK is also expanding its use of Domo to test its own data and produce new features and content all within one platform. These examples show the power of our land and expand model and how once customers have our platform, they implement a growing number of use cases, apps and solutions. My third point is growing market validation. We firmly believe that the business value Domo delivers will keep demand for our products strong and that business value has been validated by third parties and customers alike. In Q4, Forrester Consulting completed a study that showed customers can realize, on average, a 434% return on their investment over three years and recoup their investment in less than one year. We're also seeing a trend where independent analyst research is leveraging the voice of the customer. In this particular area, we've shown extremely well. In fact, when it comes to business value, Gartner Research's 2019 Magic Quadrant for Analytics and BI platforms noted that Domo was rated by customers as number one compared to all vendors in five of the seven categories for business benefits achieved. Domo was also ranked number one for usability and total cost of ownership, return on investment in Ventana Research's 2019 Analytics and Business Intelligence Value Index. Customers love us. Customers love the product. We have some changes to our Board. And I'd like to thank Glenn Solomon for his contributions as a Domo board member. Particularly when it came to understanding how to leverage the nuances of our financial model, recruiting of executive management, financings and insights into how to more effectively operate the business, he was tremendously helpful. Carine Clark, who is the Banyan President and CEO, will be taking his place effective immediately. Carine has also served as CMO of two public companies, Symantec and Altiris. And I'm confident that Domo will benefit from her expertise in marketing and selling enterprise software, both through direct model and through the channel. I'm looking forward to working with her and happy to welcome her to the board. I look forward to seeing all of you and especially all of our customers for a bunch of great product announcements coming up at Domopalooza next week. And with that, I'll turn the call over to Bruce. Bruce?
Bruce Felt: Thank you, Josh. I'll begin with our fourth quarter performance followed by our first quarter and fiscal 2020 full year guidance. We had another strong quarter. Billings grew 26% to $57.2 million. Sales productivity continued to improve. Our corporate business posted positive new business growth in Q4 compared to Q4 of last year. Our international operations continued to drive outsized growth and our EMEA business more than doubled its billings from last year's Q4. Our North American enterprise business exceeded expectations as well. All of our sales groups were successful selling into our installed base and we continue to believe we have significant growth potential in almost every one of our large customer accounts. With this in mind, I think fiscal 2020 will be our year of accelerating new ACV. The primary driver for new ACV acceleration is our plan to add 30% more new quota-carrying reps during the year in contrast to the net decrease in North America reps in fiscal 2019. I'd like to point out that it takes time to hire, train and ramp the new reps to generate accelerating new billings and total billings, which includes renewal billings, takes even longer to build momentum. We have taken all the above into account as we constructed our billings plans for fiscal 2020 and as such, we plan to generate $198 million of total billings in fiscal 2020. We expect $40 million to $41 million of billings to be generated in Q1. Our Q4 revenue was $39.4 million, a year-over-year increase of 31%. Subscription revenue grew 30% and represented 81% of total revenue. Revenue growth was mostly driven by additional sales into our installed base. Consistent with Q3, international represented 23% of revenue. Our billings were supported by the fact that our dollar-based net renewal retention rates continue to be greater than 100% and in line with prior quarters. Because of our strong sales into our installed base in Q4, we do expect our dollar renewal rate to improve in future quarters. To demonstrate the inherent leverage we have seen in our model, let me share the margin improvements we have seen in Q4 and fiscal 2019. Our subscription gross margin was 74.3%, up 100 basis points from 73.3% in Q3 and up 10 full percentage points from 64.3% in Q4 of last year. We plan to get additional leverage out of our subscription cost as we continue to effectively manage our data center operations. Including our services business, the total gross margin was 68.5%, a 330 basis point improvement compared to 65.2% in the third quarter this year and a significant improvement compared to 59.7% gross margin in the fourth quarter of last year. Services and other gross margin improved mostly due to a $1.1 million one-time revenue transaction and also by improved average billing rates. In Q4, we were able to decrease operating expenses by 11% from last year and keep the expenses almost flat to last quarter. Even though billings increased by 48% sequentially, we have demonstrated we're able to execute our plans with lower personnel and lower marketing costs. The net effect of sequential increased revenue while keeping costs flat allowed us to improve our operating margin by 11 full percentage points from last quarter. In Q1, consistent with prior years, we expect our operating expenses to grow from Q4 due to hosting our Annual User Conference, seasonally higher payroll taxes, and hiring more sales reps and supporting personnel. Our net loss was $25 million and net loss per share was $0.94. This is based on 26.5 million weighted average shares outstanding, basic and diluted. Turning now to our balance sheet, as of January 31, we had cash and cash equivalents of $177 million. We used cash from operations of $27.7 million, an improvement of $3 million over the prior quarter and a 25% reduction since Q1. We are planning to decrease our cash burn sequentially each quarter of fiscal 2020, starting with Q1 adjusted cash flow from operations of about $24 million and in total, $76.5 million for the year. Adjusted cash flow from operations will exclude the impact of our stock -- of our employee stock purchase plan, which will have no effect on our cash balances. The first purchase under that plan will occur in Q1. Now to formal guidance, for the first quarter of 2020, we expect GAAP revenue to be in the range of $40 million to $41 million. We expect non-GAAP net loss per share basic and diluted of $1.26 to $1.30. This assumes 26.9 million weighted shares -- weighted average shares outstanding basic and diluted. For the full year of 2020, we expect GAAP revenue to be in the range of $173 million to $174 million, representing year-over-year growth of approximately 22%. We expect non-GAAP net loss per share basic and diluted of $3.99 to $4.07. This assumes 27.3 million weighted average shares outstanding basic and diluted. In closing, I'd like to reiterate we're pleased with our results as we continue to post strong revenue growth with reduced operating expenses. We are increasingly confident that our go-to-market strategy is the right approach and we have a fully funded business plan. Our success this year enables us to pivot toward our future growth opportunities while continuing to increase our sales and marketing efficiency. With that, we'll open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Sanjit Singh with Morgan Stanley.
Sanjit Singh: Thank you for taking the question and congrats to the team for a real strong Q4 and nice end to the year.
Josh James: Thank you.
Sanjit Singh: Bruce maybe to could start off -- and maybe this is for Josh, too -- the pickup in sales rep hiring. I guess, maybe if you can just give us more detail on what's giving you the confidence. And if you sort of maybe break it out between the trends that you're seeing in the international business -- the international sales team rather, the corporate team and the North American enterprise, which of those three groups is delivering -- showing the most improvement relative to your expectations?
JoshJames: I think there was a lot of opportunity that we had created overseas, partly with the management team that we have in our regions and that gave us confidence last year and I guess really the year before, to hire the reps in those regions. And they performed well, especially EMEA. And we always felt like there was a big opportunity in EMEA. We've got customers here that will pull us over there. We'll work with the North America operations. And we also have some really large deals and -- that are headquartered there that are some of our most advanced users. So, we got some great referenceable accounts there. I think what's exciting about right now is, looking at North America, we haven't seen the productivity increases that we needed and the performance that we needed that gave us the confidence to hire more reps. And in fact, we had a pretty meaningful decrease in reps at one point. And as we started seeing that productivity increase with -- on the enterprise side, then we really started -- and we had some new leadership come in as well and we really started leaning into hiring more reps on the enterprise side. On the corporate side, I think what we've been extremely impressed with -- and as I mentioned in my comments, at least half the corporate business feels very enterprise to me. And if you look at the performance there, what's almost astonishing is how well they were able to perform with a dramatic decrease in marketing spend. And so as we decrease the marketing expense focused on corporate business and saw them continue to perform and focus on those bigger customers that are more enterprise-like, we felt like we could add more reps there, and then on the enterprise side, that's where I think the majority of the folks is going to be, it's North American enterprise and that's where we're adding the reps.
Bruce Felt: Yes and just a slight add to that is what we're finding is, I mean, we just have outstanding enterprise leadership right now. And all the moves that we're making to improve our go-to-market in favor of enterprise are benefiting our corporate business. And that leadership team and the, frankly, the whole team has actually done an outstanding job drafting off and using all the tools that we're putting together for the enterprise side on the one hand and they really have overcome the dramatic decrease in marketing spend on the other hand. So, that gives us confidence in that group as well to hire reps and we will be hiring reps.
Sanjit Singh: That's really encouraging. I had one sort of clarification question and one follow-up. On the clarification question, Bruce, I was wondering if you could repeat the billings and the cash flow from operations guidance. Then my follow-up was -- question was around your comments around improved dollar-based expansion. Is there any sort of -- what are sort of the levers that you're pulling to drive that? Is that higher renewal rates, that being a driver? Or are you changing or are there things that you're doing to more rapidly expand into the customer base? Thank you.
Bruce Felt: Yes. So, on the billings guidance, to be clear, we're guiding $198 million in billings for the year and $40 million to $41 million in Q1. And on cash flow, we are guiding $24 million of cash use in Q1, $76.5 million of use for the year. And I also made the comment that we are targeting to have sequential improvements in cash flow each and every quarter for this year.
Josh James: And in terms of the upsells and selling into the current customers, I think the thing that we're seeing really resonate is the platform that we have, and the platform message to our customers is really resonating. And so taking those conversations to the CIOs and having a conversation about the platform and not this cash-forward or visualization or app but really helping them understand the breadth of our platform is something that's resonated quite a bit with CIOs. And once they understand that platform and the breadth of it, the common theme thing we'll hear from our customers then is, wow, I didn't know you had this breadth. There's actually three or four projects that we have coming over the next few years that we can use you for, and I didn't know how we were going to solve those problems yet. And that's some of the expansion that we're seeing, in addition to some of the ones I mentioned where we go in, we get 1,000 users, we go back six months or a year later and we get 15,000 users. And it's nice to see the -- since day one, we focused on trying to build something that everyone in the organization can use so you truly can really run your business using Domo, and we're seeing that time and time again.
Bruce Felt: Yes. And the specific answer to the dollar renewal rate, I mean, the number we've been using was a revenue-based rate that we carried over from our S-1. And my comment was that we see improvement because -- just the amount of business that we book with our current customers on a current ARR basis and recurring revenue basis was very strong, so that's going to flow through the revenue. So, it's driven primarily by the upsell as renewal rates have tended to be about the same every quarter. So, it's really the opportunity to penetrate these larger accounts wider and deeper is driving that number.
Sanjit Singh: Makes perfect sense. Thank you.
Operator: Thank you. Our next question comes from Brad Zelnick with Credit Suisse.
Brad Zelnick: Excellent. Thanks so much. Can you guys hear me?
Josh James: Yes. Hi Brad.
Brad Zelnick: Hi. Congrats again on a great finish to the year. Josh, you've mentioned the word platform now several times. It seems to be driving much broader adoption, especially inside of these enterprise accounts. And if you could pinpoint -- and I think you've spoken to this quite a bit in different ways, but from a sales motion, how much of this is now more top-down, calling on the CIO with the new enterprise go-to-market versus more of a bottoms-up groundswell as perhaps, departmentally, you get it in the hands of a particular use case? Do you find more of a change to the time that it takes to get this type of broad footprint within an account? And I've got a follow-up as well.
Josh James: Yes. So, I think if you're -- the sales motion initially was bottoms-up. And the move that we didn't have -- there's really two moves. So one, it doesn't matter where you get into an account, and it doesn't matter why you're getting into an account. If you're getting in there to sell an application, to sell an IoT solution, to sell a digital marketing application, that's great, go have that conversation. But what we're really trying to emphasize with our sales team is the moment you're in there, you should be talking about the platform and educating them about the platform and doing everything you can to get in front of the right folks in IT, to get in front of the CIO. And what we found is that doesn't slow down the sales process. It prevents future blockers maybe in that sales process, but it definitely prevents future blockers in upsells. If the sales call starts at the CIO or starts at somebody higher in the IT organization, then you're pitching the platform. They understand that and then they figure out what solutions make sense. So, either way, it's just getting to that platform conversation. It really helps remove potential blockers down the road. And also when those CIOs get on board, that is -- I mean, I've heard it several times now, where they look at you and say, I had no idea you did all these things. There's several projects that we want to have you help us with. And I think the Vivint was -- the Vivint example I gave is certainly, I think, a good instance that describes the opportunity because we are in there and they were using us to look at data and manage it across their organization. And they had lots of different people that were looking at reports. And then they said, okay, all the data is here and the systems are connected and we have people. There's great UX here. Can we build a specific application just for us? And something that would have cost, for our average customer, that they'd have to go out and spend millions of dollars or they can come and spend a couple hundred thousand bucks with us and get an application that, because it sits on top of this platform, is able to leverage all of the other technologies that we've been building over the last eight years. So, that's been an exciting thing to see with our customer base.
Brad Zelnick: That's a great perspective. Thank you. And just, Bruce, in follow-up, as you've given us your guidance for the full year, what -- and it's great to see the confidence that you have and the proof points to go out and increase the number of sales heads by 30%. As we think about the ramp at which you expect to bring them on board, can you share what's embedded in the guidance? And perhaps as well as you're scaling the organization in the field, how should we think about quota increases and the overall structure in terms of number of territories, regions and what have you? Thanks.
Bruce Felt: Well, now that we decided to hire them, we decided we should do it right away. So, we're trying to frontload the hiring. We're looking for high quality reps, so that takes some time, but we're really pushing to try to get it done in the first half of the year. And we know that even that, challenges can be contributed during this year because you get them on board and then there can be six-month sales cycles, but it definitely sets us up to give us a good shot to get some productivity out of them by the end of the year and we're really thinking forward to the year after. We've had fantastic productivity improvements this year. And although there may be opportunities for that to continue, we're very careful about relying on that exclusively. So, to kind of protect the growth for the year after, we really want to make sure we have them all on Board the first half of the year. And it's good we waited until now to really start accelerating that because we have such a clear picture of what our go-to-market approach is, what our messages are, making a run at the CIO. We have more tools in their bag and we want to have the reps that are very consistent with that. So, it's a great time for us. And overall, I think you asked about quotas. Yes, we've -- they've been on the lower end that we kind of discussed before, particularly on the enterprise side. There is opportunity to increase them, we have. Comp plans are rolled out fundamentally on day one of the year. So, we got that in place, which always a good idea with your sales force. So, building more capacity both by quota increases and certainly a lot by bringing on the 30% more reps. Did that answer everything?
Brad Zelnick: Excellent. You did. Thank you so much and congrats again.
Josh James: Thanks a lot.
Operator: Thank you. Our next question comes from Pat Walravens with JMP Securities.
Pat Walravens: Great. Thank you and let me add my congratulations to you guys.
Josh James: Thank you.
Pat Walravens: My first question is the same one I asked last time. And last time, you guys said, wait until we go through Q4" And then, Josh, you're like, I'm dying to tell you, Pat, but Bruce won't let me. So, when do you think you will hit breakeven?
Josh James: Yes, Bruce still won't let me tell you. It's funny, though, I had a conversation with a couple of investors last quarter and they were asking about that question. I said, we could let the word out, but I don't necessarily feel like we're going to get all the credit for it yet. And they tended to agree. It seems like we need to get a little bit closer. But I think what we have done this time by showing a number in terms of guidance around cash flow, we burned $130-something million last year, and we're showing $76 million as guidance this year. I think you can do the math and see that it's coming sooner rather than later, and it's going to come with plenty of cash in the bank, but in terms of specific date, I still think we want to get a little bit closer. And part of this is also as we're seeing these rep productivity increases and more opportunities to get that growth rate up to a level where we start feeling a little bit more comfortable and it feels more like our brand, then I think we may want to invest some of those dollars into that. So, we're just trying to be measured about not saying it too soon to make sure we have enough information. We feel really good about the constraints that we've put on the business and that we've given with the guidance and feel really good about the -- with that guidance, the amount of money that we have left over when we get to breakeven. And so that's kind of where we're at on that front. Bruce, you want to add anything?
Bruce Felt: Yes, I think just the numbers kind of speak for themselves that we have enough money to get to cash flow positive. And we're going to -- we want the flexibility to play with the slope of the curve, but there's a real curve there and real visibility into when we'll get there and how we'll get there.
Pat Walravens: Okay. I mean, your guidance on cash flow is a lot better than what I had so--
Bruce Felt: Can I take it back?
Pat Walravens: That's a step in the right direction. And Bruce, what should we look for, for CapEx?
Bruce Felt: I mean, CapEx has been modest because our data center costs have been operating costs, right, leveraging the AWS infrastructure, Microsoft infrastructure, maybe the Google infrastructure. So, it's been in the $5 million-ish range, mostly some capitalized R&D, some -- if you throw capitalized commissions into that as well. But then minor for the fact that we're a big data company, fundamentally. We have lots of stores, lots of throughput, incredible amount of technical complexity. The amount of CapEx is incredibly low. And at the same time, our team is really good on the engineering side and administration side of just leveraging all these advanced technologies and/or putting it on our own hardware as needed, which gives us confidence to say we do expect -- we do still see leverage and improved gross margins on the subscription side because of that technical capability that we have.
Pat Walravens: Okay. And then maybe if I could throw one more in, Josh, and you're going to have to oversimplify to do this. But as I tell the story, I get a lot of people asking, okay, well, wait a minute, Pat, so, what was the message the salespeople were saying before this management, this new sales leadership came in and what is it now? Can you boil it down to something?
Josh James: Yes. So, the one big thing that's been -- one thing that's been really complicated for us has been you guys are in BI. And so we think of BI as list the number of competitors. And it was difficult for our sales organization to get out of that conversation. As we have finished the product, been able to deliver some of the proof points, have customers that are using us in an enterprise way, and frankly, when Catherine Wong showed our architecture slide as we were getting ready for the IPO and we started seeing how customers responded to that, and they just saw the breadth of the system, that's when we started having -- we would see how customers' eyes would light up and finally get the recognition of how different we were, that we really started running that play over and over again and we've been continuing to expand on that. And at Domopalooza, we're going to roll out some messaging that we've been testing on customers, and it really resonates. And so historically, it was hard to get out of the BI box and we're dramatically. Now, with new messaging and the proof points and the new sales organization, I -- going forward, it's here's the platform. Here's all the pieces that we have. Here's the architecture. It's not vendor lock-in. You can use us to connect to the data. You can use us to then optimize and clean and organize that data. You can visualize that data. You can build apps on top of that data. And there's AI that plays throughout this whole thing and governance that plays throughout this whole thing. And when you show that slide to our customers, they get it and they're like, it's a platform. And that's the biggest difference that -- between before and now.
Pat Walravens: Great. Thank you.
Josh James: You bet.
Operator: Thank you. Our next question is from Jennifer Lowe with UBS.
Jennifer Lowe: Great. Thank you. I wanted to go back to the sales hiring a little bit. And I guess a couple of questions there. First, given sort of the early commentary that the 30% growth is ideally going to happen sooner than later, the question I had is why do the 30% right now? Why not sort of see how it goes given that you're just starting to get things humming again in North American sales? You certainly don't want to rock the boat too much. And so related to that, what are the metrics you're watching on productivity? What are the guardrails that if you do start to see productivity waver a bit as you integrate these new people into the organization, how should -- how closely are you watching that? And what are your options to kind of change course if you are starting to see that impact, the stuff that you already sort of achieved in the recent quarters?
Josh James: Yes. So, I guess, the first thing I would say is 30% feels like child's play to me. I think -- we're talking about 100%. That starts to get where you're like, okay, we're starting to reach the limitations of how much we can train. And are we able to get their marketing? Are we going to be able to get the sales management in place? And -- but 30% -- an extra 30% is pretty easy. But your point is totally taken in terms of what are the things that we look at, and that's the right question. And so as we bring these people on, how's their pipeline building? That's the first thing you're looking at. Are they getting those initial meetings? Do we have the sales activities and events to build those relationships? Do we have enough customers that we can go back and sell into that we can spread out across these new reps that they walk in, with something to do versus just a brand-new patch with no conversations to have? So, I think those are some of the things that we look at is just are they getting the marketing leads? Are they building the pipeline? And especially with the sales management team that we have, we're pretty comfortable that they'll be able to manage through that 30%. And hopefully, we see the productivity we want and we're able to then double down again.
Bruce Felt: Yes. And I'll add. Let me -- I'll just add we're small. We have a -- I mean, our sales force is just not very big. 30% is not a big tax on them. I mean, we did not want to do it before because we're really focused on productivity, but the management that came in, we think, has an excellent kind of approach. They're going to work off their network. They're going to get known people with known capabilities. They know the play we're going to run. We think it's a very good use of resources and a very safe bet with all kinds of ways to measure it. But again, 30% on top of the base of people we have is just not a lot.
Jennifer Lowe: And then sort of related to that, if you look at the billings guidance for this year, it looks like around 20% growth. You come into the year with a pretty decent backlog of just renewal billings growth that should give you a nice tailwind to hit that 20% for the full year without taxing sort of the new billings side too much. But given 30% headcount growth, given the productivity gains that you've been seeing and I would expect to continue to see, I don't want to sort of to put you in a corner, but as you think beyond 2021, if there are -- into fiscal 2021 and beyond, I mean, is this sort of 30% type hiring flip, should we presume that, that's building towards a 30% billings plus type model in the run rate once this all starts to ramp?
Bruce Felt: Someday, but not right away and the reason why they're not right away is because, first, we have to hire them and they're very, very helpful to new business once they get ramped, but we have -- we do have to recognize that we've built the business with lower headcount during the year. We fundamentally brought down growth last year while we focused on productivity. And that does not give us the renewal wind in the sails like we would have had we not done that. So, this is a year of building new, accelerated new and really build up that renewal stream to be a driver for future years. So yes, eventually, we get there, just not right away.
Josh James: And eventually, we're not talking about 30%. Hopefully we're talking about 40%, 50%.
Jennifer Lowe: Great. Thank you.
Operator: Thank you. Our next question comes from Bhavan Suri with William Blair & Co.
Bhavan Suri: Hey guys. Nice job thanks for taking my question. And I guess, just to touch on something a little more strategic to start off with. When you think about the idea of standardization as you get these large accounts, fixed target income level where they're getting very large, have you started -- and you're having CIO conversations, are you starting to have this idea of standardization? Because the analytic environment in these places in all larger methods has been kind of hodgepodge, right? A bit of [Indiscernible] a bit of this, a bit of [Indiscernible], a bit of MicroStrategy, BI, whatever, and then they've got a bunch of ETL, they've got a bunch of warehousing. Is there sort of this concept that maybe people start to think about standardization around Domo? Or is it still too early?
Josh James: No, we see that with some of our customers. We don't see it with our big enterprise customers too much yet. We have certainly a handful of customers that when you start talking about 15,000 users, 10,000 users, 12,000 users, I mean, certainly those people have standardized. There's definitely standardization for the nontechnical users and for the management team. That's happened in a lot of places, standardization from a back-end perspective. One of the things that we get to say to our customers is, hey, whatever it is you've invested in, congratulations. Because you've made those investments, you now can leverage what we have in Domo. And we can come in and be this capstone event for you where you're able to keep every -- all the investments you have and now finally get value out of them. And we're that last mile of value. And then if you want to replace things and move more of your data to Domo, move more of your connectors to Domo, then you can go right ahead and do that. And we can adapt and grow and scale with you as you want to evolve. And that's worked -- that message has really resonated and worked well with people. 
Bhavan Suri: Got it. Got it. And then train I wanted to touch on is consolidation. So we're starting to see consolidation in the market between organizations where they have a lot of point solutions, but then also like Qlik, Bot, Attunity to do sort of bulked-in loading type stuff and maybe a little ETL to be able to kind of standardize around fewer vendors, that's one. And then two, as some of the vendors are starting to realize that you're an end-to-end platform here, obviously you guys have demonstrated it can be built and then cobble together solutions that maybe you guys didn't do that, but as you think about that, is this something you are starting to hear more broadly from customers? And then are you seeing a corresponding uptick in the pipeline because of consolidation? Or is that also still a little early?
Josh James: I think it's a little early. I think it's astute for you to point that out. We certainly think that. We've built some -- we didn't build something because competitors were doing it. We built something because this is really what the customers needed to have the right experience, which is why some of these solutions that we're delivering and some of the solutions I talked about on the call and some of the solutions that we're going to show at Domopalooza, it's just not possible with any other set of solutions. You just can't do these things. And if you can, you're going to spend 10 times the amount of money by cobbling together things like you described and having services. And you're not going to get the power and the scalability or the user experience that we have. So, yes, I do think that others will come this direction. We haven't seen the increase in -- or uptick in pipeline necessarily because of that, because others aren't out exploring that market yet. But what does give us confidence is since others are starting to recognize this and move in this direction, then that pipeline will come. And as it comes, I will just say good luck to everyone else that's trying to cobble stuff together. And that's just -- that's why we did what we did and we made those investments early. And I think it's going to be really fun, to Jennifer's question, to see how quickly this thing can grow as that becomes more of an understood and standardized way of doing business. And that's going to happen. We're seeing it because we're seeing it with our smartest customers. And so we know everyone else is going to follow them down that path eventually.
Bhavan Suri: That's awesome. Thanks guys and I'll see you next week obviously. Thanks.
Josh James: Okay. Thank you.
Operator: Thank you. And our final question comes from Derek Wood with Cowen and Co.
Derek Wood: Great. Thanks and I'll add my congratulations. It sounds like you're seeing good strength in upselling the installed base. How do you guys balance the focus between targeting net new customers and trying to expand the installed base? And do you see that mix changing at all heading into the new fiscal year?
Josh James: Yes. I mean, the -- we could probably sit here and upsell into our customer base for years and years to come and hit the targets that we need. There's just so much opportunity inside our current customer base when you look how penetrated we are and we're just -- we're barely penetrated into some of these really large accounts, but we have great experiences with them. So, tons of upside, tons of opportunity to sell these additional apps that we've been announcing and things like integration cloud and IoT solutions and more things that we're going to announce at Domopalooza where we've had -- we've got some good traction now. Domo Everywhere is another place where so many of our customers want to be able to take the data that they have and create an experience for their customers. And they want to white-label what it is that we have or branded their -- brand it with their brand. We have big retail vendors that are taking their data and selling their data that's in the Domo platform through Domo Everywhere to their suppliers and making money off of that. So, there's definitely an opportunity here. Once you have the centralized platform, there's so many things that you can do with it and so many solutions and applications that you can build on top of it. And I think that really -- that's really the opportunity that gets us most excited.
Derek Wood: So, are you saying you will favor focusing on upselling because there's so much opportunity and that will be a big focus this year?
Josh James: No, in terms of -- that's definitely an opportunity for growth. Obviously, we're going to continue to focus on adding new logos. I think over the last -- especially as we pull back marketing spend, there was -- okay, let's go. We got a big opportunity to go and upsell, let's go and upsell, and then let's go and find the most efficient ways to find new logos. And we haven't had an acceleration of new logos, but we found really efficient ways to find them now. And so what we've done in terms of the focus, we actually have -- we've actually split up our sales team so we have some sales teams that are focused just on new logos now and we think that's going to help us getting us positioned where we can start accelerating the new logos as well because that's obviously the lifeblood of the future. I don't think it's going to necessarily have to exist in order to drive our business over the next couple of years, but it's something that we want to get good at. And definitely, a few years from now, we're going to need to make sure that we've got a bunch of new logos that are coming in.
Derek Wood: Got it, that's helpful. And then last question. The -- Josh, you did mention integration cloud and you had a press release a couple weeks ago. That seems like a new strategy to maybe productize different pieces of your platform. Am I going down the right path there? I mean, what's the strategy with kind of having a separate integration cloud offering? And I guess, I'm curious does that maybe change or add to potential buyer of Domo?
Josh James: Yes, definitely. I mean, it's customer-driven. So, we're responding to what our customers are coming and looking at our platforms and buying pieces of it. And this notion of being able to connect to over 1,000 different sources of data where we've built connectors and then an infinite number using the generic connectors that we have, everything else out there just connects the data and then it comes into a database and you have no idea what's really kind of going on. We built this platform that actually allows you to have a live view into that data, and it's much more powerful than any kind of other integration cloud that may exist that's out there and we had never productized that. And we had customers coming to us and asking us, hey, I just want to buy that piece. Or I bought this small -- I bought the Domo platform, but I really want to double down on that piece. So, exposing that, exposing things like having customers come to us and say, so you're really good at connecting to anything and then normalizing that data and then visualizing that data and any kind of digitalization or application that we want. Can we make a really cool IoT solution? Our customers pull us there. We do it a couple of times. We're like, wow. Actually, we didn't realize no one else does this. Yes, we can do this for you guys. And so we go and we build a IoT application that now we're out selling and we're going to market with partners, with Amazon. And it's fun to see different ways that we can productize this platform. So, yes, you're going to see a lot more of that. You buy the platform and an infinite number of solutions are available to you. We're building and seeding the market with the first round of them. I think when you look at the years to come, that ecosystem and the applications that are built are going to become more and more important to our business.
Derek Wood: Great. Really interesting and looking forward to hearing to more about it next week. Thanks guys.
Josh James: All right. Thanks so much everybody.
Operator: Ladies and gentlemen, thank you for participating in today's question-and-answer session as well as today's conference. This concludes the program. You may all disconnect and have a wonderful day.